Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural's Q2 2018 Earnings Results Conference Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, August 2, 2018, at 9 AM Mountain Time. I would now like to turn the meeting over to your host for today's call, Mark Stainthorpe, Vice President, Finance, Capital Markets of Canadian Natural Resources. Please go ahead, Mr. Stainthorpe.
Mark A. Stainthorpe - Canadian Natural Resources Ltd.: Thank you, Stephanie. Good morning, everyone; and thank you for joining our second quarter 2018 conference call. In addition to discussing the second quarter results, we will provide an update on our operations, ongoing projects, and strong financial position. With me this morning are Steve Laut, our Executive Vice Chairman; Tim McKay, our President; and Corey Bieber, our Chief Financial Officer. Before we begin, I would like to refer you to the comments regarding forward-looking information contained in our press release. And also, note that all amounts are in Canadian dollars; and production and reserves are expressed as before royalties unless otherwise stated. With that, I'll now pass the call over to Steve.
Steve W. Laut - Canadian Natural Resources Ltd.: Thanks, Mark; and good morning, everyone, and thank you for joining the call this morning. The second quarter was a very good quarter with strong cash flow per share, up 16% from Q1 at CAD 2.19 a share; and importantly, earnings per share up 70% from Q1 at CAD 0.80 a share, driving increasing returns on capital employed. Canadian Natural is in a very strong and enviable position, with significant competitive advantages, competitive advantages we are leveraging to generate significant, sustainable, and growing free cash flow. Our competitive advantages are strategic with our top-tier expertise in all our areas of operations and our ability to leverage technology. We are very nimble, effectively allocating capital and capturing opportunities. We have access to capital markets. And maybe most importantly, our culture gives us a significant competitive advantage. On the assets side, our assets are vast with deep, well-balanced, and diverse inventory of low capital exposure and long life, low decline projects. We own and control our infrastructure and leverage our size to drive economies of scale to increase effectiveness and efficiency. Importantly, 72% of our oil assets are long life, low decline assets. Long life, low decline assets are very valuable as reservoir risk is low to nonexistent. And the scale of these operations matters, allowing Canadian Natural to leverage technology and use continuous improvement processes to minimize our environmental footprint; maximize utilization, reliability; and deliver ever-increasing, effective and efficient operations. The impact of long life, low decline assets on our sustainability is significant. Our average corporate decline rate is targeted at 9%. As a result, our maintenance capital to hold production is flat and significantly less compared to a typical E&P company, making Canadian Natural more robust and generating more free cash flow. Canadian Natural has always been focused on value growth, not growth for growth's sake. And our large strategic asset base and our nimble and effective capital allocation allows us to quickly and proactively react to market conditions and opportunities. Tim will highlight how we effectively reallocated capital to capture better value lighter oil opportunities in the quarter. We also have exciting value adding and growth opportunities at both Horizon and Athabasca Oil Sands Project. As you know, we're taking most of 2018 to define and high grade these opportunities. Progress is on track, and we have a slate of very exciting opportunities to enhance reliability, lower costs, and add production. These opportunities will have between 75,000 bbl/d and 95,000 bbl/d of production in smaller stepwise projects, that will also increase reliability and lower both operating and sustaining capital costs at very good capital efficiencies. Smaller stepwise projects preserve our capital flexibility as we are shorter duration from initial capital spend to onstream date. As we become larger, more robust, and sustainable, the opportunities for Canadian Natural to execute on value-adding and growth opportunities have significantly exceeded our expectations. We expect to provide additional clarity in all these opportunities as we progress through 2018. Part of creating long-term value is reducing our environmental footprint, where we have taken significant steps to reduce our environmental footprint and delivered meaningful results. So, in 2012, we reduced our methane emissions in our conventional heavy oil operations by 71%. In addition, we have invested significant capital to capture and sequester CO2. We have CO2 capture and sequestration facilities at Horizon; our 70% interest in the Quest Carbon Capture and Storage facilities at Scotford; and the carbon sequestration facilities at the North West refinery when it's up and running. As a result, Canadian Natural will be conserving roughly 2.7 million tonnes of CO2 a year, equivalent to taking 570,000 vehicles off the road, making Canadian Natural the third largest owner in the global oil and gas sector of CO2 capture and sequestration capacity, and the fourth largest of all industries in the world. This makes a significant impact on reducing our greenhouse gas emissions intensity with more reductions to come. In addition, Canadian Natural minimizes our land usage and recycles 90% of our water used in our Oil Sands Mining and Upgrading, significantly reducing freshwater usage. Canadian Natural is also the largest investor in research and development in the oil and gas sector and the fourth largest in all sectors in Canada. With investment in technology, we have made significant progress from reducing our greenhouse gas emissions, and there is a pathway to reducing our greenhouse gas emissions intensity from the oil sands production to levels that are below that of the average oil produced globally. For reference, today, at Horizon, where we significantly recognize our carbon capture initiatives, our emissions intensity is only slightly higher, 5% from the average for global oil. The impact technology and effective operation has on lowering Canada's oil sands greenhouse gas emissions intensity, and our ability to leverage technology to continue to reach that intensity is generally not well understood. Many external opinions in oil sands' operations are based on outdated data from many years ago that unfortunately continues to be used today as reference materials in many reports. The long life, low decline nature of oil sands assets allows producers to continue to leverage technology, further reducing our environmental footprint and driving ever-increasing effective and efficient operations. This is exactly what has happened and continues to happen as we achieve further improvements. The value of Canada's oil sands is very important to Canada and Canadian Natural. We believe the oil sands will ultimately stand the test of volatile oil prices and any potential demand forecast scenario, as we believe the oil sands will have the lowest environment footprint and the lowest total cost. At Horizon, we've taken operating cost from over $40 a barrel to roughly $17 a barrel. And, importantly, there are no reserve replacement costs, a fundamental factor in Canadian Natural's strategy to invest in the oil sands and be a leader in research and development. A critical plank in Canadian Natural strategy is to balance and optimize the allocation of cash flow to maximize value for shareholders. We strive to balance and optimize what we call the Four Pillars of Cash Flow Allocation: Balance sheet strength; returns to shareholders; resource development; and opportunistic acquisitions. How we balance the pillars depends where we are on the commodity price cycle, the risk of creating cost inflation, and other potential opportunities. At all times, the primary goal of balancing the four pillars is to maximize shareholder value. Canadian Natural is delivering substantial, sustainable, and growing free cash flow, and we are effectively maintaining balance between the pillars. By strengthening the balance sheet, and with the low prices strengthening, and the outlook more stable with greater visibility, our debt to EBITDA is targeted at 1.5 by year end. Our balance sheet is strengthening quickly. As a result, we bought back 10.9 million shares. As well, we increased the dividend 22% this year; strong returns to shareholders. We continue our disciplined approach to resource development. The capital budget has been increased slightly to capture reliability opportunities and progress engineering and additional reliability, cost, and production growth opportunities at Horizon. There are very few E&P companies that can deliver substantial, sustainable, and growing free cash flow; and at the same time deliver production growth per share, top-tier effectiveness and efficiency, a flexible capital allocation program to maximize value for shareholders, and drive increasing returns on equity and returns on capital employed as well as increasing returns to shareholders; and at the same time, strengthen the balance sheet. Canadian Natural is robust; we're sustainable; and clearly, a unique E&P company. With that, I'll turn it over to Tim.
Tim S. McKay - Canadian Natural Resources Ltd.: Thank you, Steve. Good morning, everyone. I will now do a brief overview of our assets, talk through our 2018 second quarter results and our capital allocation to maximize value for shareholders. Starting with natural gas, our second quarter production of 1.539 Bcf/d was as expected at the midpoint of our Q2 guidance. In the quarter, we've completed major plant turnarounds as planned. With low low natural gas prices; we proactively shut in production, which impacted the quarter by approximately 27 MMcf/d; as well as 12 MMcf/d reduction due to heavy oil curtailments. We also proactively deferred recompletions and workover activity related to our natural gas assets for approximately 20 MMcf/d, which could be executed this fall with improved natural gas prices. In the second quarter, the Pine River plant ran at reduced rates, where we averaged approximately 78 MMcf/d. Canadian Natural has come to an agreement to acquire the Pine River gas plant and are currently waiting on regulatory approval. Once received, we will look to close later this year. As a result, the third party will require a four-week outage to complete sales meter upgrade, at which time, we plan to complete maintenance work at the facility and complete an assessment to increasing the plant from its current restricted capacity to match our fuel capacity at approximately 145 MMcf/d, which would significantly reduce our future operating costs in this area. But, overall, second quarter natural gas production for North America was 1.40 Bcf/d, with an operating cost average of CAD 1.28, which was down from Q1 of CAD 1.31. Our natural gas portfolio is diverse, which 35% is used internally, 32% is exported, and only 33% exposed to AECO pricing. Q3 2018 natural gas guidance is targeted to be 1.535 Bcf/d to 1.565 Bcf/d. Yearly guidance is now adjusted to 1.55 Bcf/d to 1.6 Bcf/d primarily due to Pine River restrictions, including the four-week outage this fall as well as shut-ins and deferred natural gas activities. Our North American light oil and NGL production for Q2 was 89,906 bbl/d, which is essentially flat with Q2's 2017, and as expected down from Q1 of 93,158 bbl/d. In all areas, we continue to drill strategic wells that will set us up for future growth activities. As well, we continue to optimize our existing waterfloods. Our second quarter operating costs of CAD 15.81 per barrel is comparable to our Q1 of CAD 15.68 per barrel. The highlights, starting in the Tower area. We have an exciting Montney well development. Four wells are on production at approximately 400 bbl/d. They're ramping up; and three more wells are likely to come on shortly, as we target to fill our new 3,000 bbl/d facility. On our lands, we can drill an additional 41 wells, which leverage off our infrastructure, and if we chose to expand this facility in this area. At Wembley, we have a significantly Montney oil development opportunity on our 77 net sections of land, which could support approximately 175 wells over time. We drilled two net Montney wells in the first quarter. They've now come on and are currently producing approximately 800 bbl/d per well. With the success in light oil and the running room we have ahead of us, it is why we were allocating additional capital to light oil versus heavy oil. For Q2, we successfully drilled eight net light oil crude wells across our lands. In Offshore Africa, one of our highest return areas in the company, production was 18,200 bbl/d as expected, as we completed maintenance activities at Espoir. The drilling rig is now on site at Baobab and has commenced drilling 1.7 net producers and 1.2 net injectors, with targeted production capacity addition of 5,700 bbl/d net by Q4. In the North Sea, we had strong drilling results, where we averaged 24,456 bbl/d in Q2, up 2,900 bbl/d from Q1 of 21,584 bbl/d. We had excellent operational results in the second quarter. Operating costs in the North Sea were CAD 35.12, down 19% from the first quarter. Through the end of the second quarter, 2.9 net wells have been drilled, and we're currently producing approximately 1,700 bbl/d per well. The full drilling program consists of 3.9 net producers and 1 net injector. Q3 international operating production guidance is set at 43,000 bbl/d to 47,000 bbl/d. Canadian Natural is focused on creating value. With the success of light oil and the short-term volatility in the heavy oil market, it makes sense to move capital from heavy oil to light oil. We've also made the strategic decision not to sell into anonymous heavy oil market and take action to maximize value for our shareholders. Specifically, in Q2, with the volatility we're seeing, we have proactively reduced our drilling program. We drilled 39 net wells, down from our original plan of 63 net wells and targeting to reduce our overall yearly heavy oil count by approximately 55 wells. And the shift to light oil projects will be executed in the latter part of 2018. As a result, our Q2 heavy oil production was down, averaging 84,811 barrels, as we curtailed production of 7,450 bbl/d due to widening differentials and shut in 2,900 bbl/d in the quarter. Our second quarter operating costs were very stable at CAD 17.02 per barrel versus Q1 cost of CAD 17.03 per barrel. Highlight in the second quarter was our six multilateral heavy oil setup wells in the Smith area, which were on production at 340 bbl/d per well. This is a great result from a small program and has the potential development program that could target up to 125 wells across our 19 net sections of land. In our thermal properties, with the volatility of differentials early in the quarter, we took the opportunity to advance turnarounds for Primrose, Peace River, and Kirby South3), producing overall approximately 104,907 barrels, as we expected versus the Q1 production of 111,851 barrels. At Kirby South, the second quarter production was 35,322 barrels, has slowed down ramp-up of new wells, and completed plant maintenance activities. Our Q2 operating costs were excellent at CAD 9.12 per barrel, including fuel, which is very consistent to the first quarter. At Primrose, Q2's production of 67,569 barrels were able to start a turnaround in April and was completed by the end of the first week in May. Our thermal operations at Primrose continued to be effective and efficient at CAD 14.66 per barrel, down from Q1 CAD 16.61 per barrel. We are executing on our growth projects at Primrose and Kirby North, and they both are proceeding very well with a combined target to have over 70,000 bbl/d in 2020. At Kirby North, the company's 40,000 bbl/d SAGD project, which was originally targeting first oil in Q1 2020, we've had top-tier execution, very strong productivity this last year. And as a result, the project is now three months ahead of schedule, and we are now targeting first oil in Q4 2019. And cost performance remains on budget. The Central Processing Facility has 95% of equipment on site, and the SAGD drilling is nearing 45%, and is targeting Q3 2019 to be complete. At Primrose, we have started drilling our highly profitable pad add, which is on cost and time, with the plans being in schedule for Q4 2019, which is targeted to add 32,000 bbl/d in 2020. The key component of our long life, low decline transition is our world-class Pelican Lake pool, where our leading-edge polymer flood is driving significant reserves and value growth. Q2 production is up, 62,914 bbl/d from our Q1 average of 63,274 bbl/d, as we continue converting existing waterflood areas in the acquired land to polymer flooding. We are on track as we target to have 63% under polymer flood by the end of 2018. This process maximizes long-term value, as we convert more injection wells to more viscous polymer. It temporarily impacts production rates in the short term. However, over the long term, it creates better sweep and performance, maximizing oil recovery. At Pelican Lake, Q2 operating costs continue to be top tier. And on a combined basis, we're CAD 6.96 per barrel, down from the Q1 of CAD 7.07 per barrel, as we optimize the polymer flood. With our low decline and very low operating cost, Pelican Lake has excellent netback and recycle ratio. Q2, we drilled 11 net producers. All wells are on production now and performing as expected at 90 bbl/d per well. At our Oil Sands operation in the second quarter of 2018, we produced 407,704 barrels, at the midpoint of our guidance. Our industry-leading second quarter operating cost, on a combined basis, was very impressive at CAD 22.94 per barrel, on track to our lower annual operating cost guidance of CAD 20.50 to CAD 24.50. We continued to capture synergies between the two sites, leveraging technical expertise, services, and buying power, as well as operating efficiencies. We're also advancing our autonomous truck pilot, which is targeting for Q3 2019. Based on our current view, and with our top-tier mining utilization, it could reduce our cost by an additional CAD 0.30 to CAD 0.50 (00:19:57). We continue to advance near-term opportunities at Horizon, where we see an opportunity to grow our production by 75,000 bbl/d to 95,000 bbl/d. Early cost estimates are approximately $45,000 per BOE. And these volumes will have the added benefit from leveraging our industry-leading operating cost and will give us increased reliability and lower sustaining cost. The potential Paraffinic Froth Treatment expansion work at Horizon has been very positive, as the Engineering Design Specification work completed to-date has shown the optimal production rate of the expansion to be 40,000 bbl/d to 50,000 bbl/d, 10,000 bbl/d higher than the original concept. The expansion is targeted to produce high-quality diluted bitumen at low operating cost as we leverage off our existing infrastructure. Preliminary estimates of the capital acquired for the proposed expansion is approximately CAD 1.4 billion. We are on track with our 2018 plan at Horizon, as we continue defining and high-grading the additional near-term opportunities with target completion of this process by year end. These near-term opportunities are targeting to have long life, zero decline production in the range of 35,000 bbl/d to 45,000 bbl/d of light, sweet, synthetic crude oil and will be executed in a disciplined, stepwise manner, which preserves Canadian Natural's capital flexibility. The previously discussed VGO expansion will be included in its high-grading process, and these opportunities are over and above our 4% growth profiles. We have allocated an additional CAD 170 million to advance these opportunities through the EDS feed to quarter-long leads, and are targeting to have our execution plan and EDS cost estimate by the end of this year. Oil Sands Mining Q3 SCO production guidance is set at 374 bbl/d to 404 bbl/d, as we will complete a 21-day outage at Horizon, followed by a plant that will run at restricted rates about approximately 130,000 bbl/d for 12 days and finish the tube replacement maintenance on the vacuum distillate unit. In summary, Canadian Natural continues to be an effective allocator of capital. We continue to execute with excellence, and we're an effective and efficient operator. We are in a very strong position, and being nimble enhances our capacity to create value for our shareholders as we will continue to high grade opportunities in the company. We will continue to focus on safe, reliable operations, enhancing our top-tier operations. We will continue to balance and optimize our capital allocation, deliver free cash flow, strengthen our balance sheet that Corey will highlight further in our financial review. With that, I will now turn it over to Corey.
Corey B. Bieber - Canadian Natural Resources Ltd.: Thank you, Tim, for that comprehensive update on the company's operational performance for 2018. We had a strong financial performance during the quarter. Net earnings of approximately CAD 1 billion were achieved in the second quarter of 2018, accumulating to a very robust CAD 1.56 billion over the first six months of the year. Adjusted net earnings from operations were about CAD 1.3 billion for the second quarter, up about CAD 400 million when compared with the first quarter, and up about CAD 950 million from the second quarter of last year. This second quarter improvement reflects solid crude oil production volumes and the effective and efficient operations that Tim spoke about, as well as stronger crude oil pricing. Quarterly fund flow for the corporation was a record CAD 2.7 billion, 57% higher than that recorded during Q2 of last year. For the first half, our funds flow was a record CAD 5 billion, a 49% increase over 2017 levels. During the first half, we invested CAD 2.1 billion in economic development, repaid debt at CAD 1.6 billion, repaid deferred acquisition liabilities of CAD 470 million, and returned just under CAD 1.2 billion of cash to shareholders in the form of dividends and share buybacks, essentially balancing the Four Pillars of Capital Allocation. Over the last 12 months, since the AOSP acquisition, we've been able to reduce long-term net debt and acquisition liabilities by approximately CAD 2.5 billion, improving our debt to book capitalization to under 40% from about 43% and debt to adjusted EBITDA to 2.1 times from 3.4 times. This clearly demonstrates our commitment to strengthening the balance sheet. At quarter end, available liquidity was exceptional, at CAD 4.8 billion. Based upon current strip pricing, we would expect to exit the year in the range of 1.5 times debt to EBITDA, with debt to book cap in the range of 35%. Clearly, the company has transitioned into a very robust free cash flow enterprise with continually improving debt metrics. Further evidencing this, S&P removed the negative outlook on our strong triple BBB+ credit rating during the quarter. In closing, I believe that Canadian Natural continues to represent a sustainable, flexible, and balanced E&P company with a high degree of resilience to commodity and price volatility. With that, I'll hand it back to you, Tim, for your closing comments.
Tim S. McKay - Canadian Natural Resources Ltd.: Thanks, Corey. In summary, Canadian Natural has many advantages. Our balance sheet is strong, and we will continue to strengthen in 2018. We have a well-balanced, diverse large asset base. A significant portion of our asset base is long life, low decline assets, which requires less capital to maintain volumes. We have balance in our commodities with approximately 50% of our BOE, light crude oil; 25% heavy; and 25% gas, which lessens our exposure to the volatility in any one commodity. We are delivering sustainable substantial free cash flow, which we are effectively allocating to our four pillars. Canadian Natural continues to allocate cash flow to our four pillars to maximize value. Our balance sheet continues to strengthen. We continue with disciplined resource development. Return to shareholders has been strong, with the 22% dividend increase earlier this year. And year-to-date, we have bought back 10.9 million shares. And, finally, if we choose so, potential acquisitions. This is all driven by effective capital allocation, effective and efficient operations, and by our teams who delivered top-tier results. With that, I will open it up for questions.
Operator: Your first question comes from Phil Gresh with JPMorgan. Please go ahead.
Philip M. Gresh - JPMorgan Securities LLC: Yes. Hi. Good morning.
Tim S. McKay - Canadian Natural Resources Ltd.: Good morning.
Philip M. Gresh - JPMorgan Securities LLC: Hey. Thanks for all the updates today. A lot of things going on clearly. Maybe to start with, I guess, the production outlook for the second half of the year. Just kind of I was running through the numbers, and it looked like, if we were to try to use the midpoint of the guidance on the oil side, it would imply a pretty big step up in the fourth quarter. Just any color on that. I mean, it feels like maybe we should be thinking towards the lower end of that range, but anything specific going on that would lead to a bigger step up?
Tim S. McKay - Canadian Natural Resources Ltd.: Yes. It's Tim here. Yeah, our production profile is loaded to the latter half here with a lot of these activities coming on in Q3 and Q4. But to your point, we see it into the lower half of the annual guidance.
Philip M. Gresh - JPMorgan Securities LLC: Yeah. Okay. That makes sense. And second one would just be with respect to the projects and the implications for capital spending. Obviously, you gave us some color here about 2018. What I'm wondering is with the CAD 1.4 billion of spending for the Horizon project and the other opportunities you've mentioned there, how do you think about capital spending as we move to 2019 and 2020 and the timing of all this? And should we be thinking that your underlying base capital spending number that you talked about at the Analyst Day last year is pretty much on track, and this would just layer on top of it, or would it substitute for something else? Just any general thoughts.
Tim S. McKay - Canadian Natural Resources Ltd.: Hi. So, it's pretty early to say exactly what the exact number would be, but our CAD 4.3 billion to CAD 4.5 billion range will be very close to that range, I would suspect, with no major change that way. If you look back in 2017, we had CAD 4.9 billion spending, and we actually lowered it in 2018 to actually get now to the revised now of CAD 4.6 billion. So, what I would see, as we move through our budget process, is we will allocate the capital to the most appropriate areas and keeping that spending very much in line with our previous numbers.
Philip M. Gresh - JPMorgan Securities LLC: So, you're saying that even if you do the PFT project, that wouldn't be additional capital relative to the budget you laid out in November?
Tim S. McKay - Canadian Natural Resources Ltd.: What we will do is reallocate capital. So, if you look back on 2017 to 2018, we actually decreased Horizon – well, Horizon spending decreased. And that was allocated to thermal. So, what we see going into the fall here is that we will high grade our opportunity and see where we will flex a little bit our capital and layer on top what would be needed, but I don't see it being significant.
Corey B. Bieber - Canadian Natural Resources Ltd.: So, Phil, when you look at it, we have a range here going forward. We'll probably in that range, at the same capital we have this year. But if you look at the capital spending this year at Horizon, we have $500 million spent to the tailings pond and environmental work. Obviously, that work will be complete this year, so that means we have $500 million less to spend in 2019. So, as Tim said, it'll all be balanced off here and we'll be within the range.
Philip M. Gresh - JPMorgan Securities LLC: Right. Okay. Okay. I remember that now. Okay, that's helpful. And then is the timing for all this essentially 2020 then?
Tim S. McKay - Canadian Natural Resources Ltd.: Sorry?
Philip M. Gresh - JPMorgan Securities LLC: For the Horizon Project, sorry?
Tim S. McKay - Canadian Natural Resources Ltd.: We would start executing the project in a stepwise manner starting really next year, 2020 and into 2021, so it's very preliminary. We will give a lot more detail here later this year. But the preliminary, we see it very stepwise over the next few years.
Philip M. Gresh - JPMorgan Securities LLC: Great. Thanks. I'll turn it over.
Tim S. McKay - Canadian Natural Resources Ltd.: Thank you.
Operator: Your next question comes from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta - Goldman Sachs & Co. LLC: Hey. Thanks very much, guys. It was nice to see some share repurchases in the quarter with the stock trading at a wide free cash flow yield. What do you think about the potential for incremental share buybacks here in the third and fourth quarter, and then into 2019? What's the framework of around share repurchases?
Corey B. Bieber - Canadian Natural Resources Ltd.: Yeah. Thanks, Neil. It's Corey. So, I think we've said a few times today, it is a priority to return capital to shareholders. And we've done that very well through 18 years of consecutive dividend increases. More recently, the dividend is averaged about 22% compound annual growth rate. That means, really, over CAD 2 billion through buybacks and distributions in the recent years. Recently, with the stronger commodity prices and greater visibility on our free cash flow, we have bought back additional shares. And that puts us in a better position to increase returns to shareholders without compromising capital and other pillars. So, as we go forward here, it really depends on – based on current environment, the outlook, and the opportunities at each of the four pillars. We'll make the decision on how best to return capital to shareholders through buybacks. So, it is a important part of it, important part of the four pillars. So, we make that decision as we go forward. We don't have set figures.
Neil Mehta - Goldman Sachs & Co. LLC: That makes sense. Is the framework more opportunistic or flywheel in nature in the sense that, do you say you have a view of intrinsic value, and when the stock gets dislocated from that, you take advantage of it, or do you look at all the other priorities, and when there's excess cash, you utilize that for the buyback?
Corey B. Bieber - Canadian Natural Resources Ltd.: You know what, it comes down to allocation of capital, which we were pretty good at through the four pillars. And it is maximizing shareholder value So, some of it is covering up dilutions, some of it could be an economic decision, and some of it is just based on the current environment outlook and opportunities, at which the company sees internally based on the forward views. So, we consider it all, we're not dogmatic in how we approach it; we are very flexible. And I would say, we're actually very nimble as well. So, when we see opportunities, we're very good at capturing those opportunities.
Neil Mehta - Goldman Sachs & Co. LLC: Yeah. There was a comment that you made in the release today talking about M&A and how this year you've done a smaller level of transactions. Can you just talk about the M&A market? And given where you are especially as you're digesting the Athabasca deal, are you at a point right now where you're focused more on organic opportunity and capital returns versus trying to secure large transactions?
Steve W. Laut - Canadian Natural Resources Ltd.: As you know, Canadian Natural is always focused on maximizing value, and we do that through the four pillars. I think you heard us say many times before, strengthening the balance sheet has been a priority. It's strengthening very quickly. Returns to shareholders are important to us, and we've seen that increase significantly this year. There is no gaps in our portfolio, Neil. So, it's not like we need to do many acquisitions, so we're not actually chasing anything. But that being said, we're not averse in doing acquisitions, and we're good at it. If that makes sense and add have value, we'll take a look. But I think, right now, it doesn't look like much is out there, and nothing's really coming to us. And we're focused on organic growth. And I think as you'll see as we progress through the year, here probably towards the year-end, we have a lot of exciting organic growth opportunities, value-adding opportunities not only to grow production, but increase reliability and lower cost, go through the operating costs and sustaining capital costs at Horizon. So, we've got a lot of good opportunities in front of us. We're in a really good position. So, it's not like we need to do acquisitions.
Neil Mehta - Goldman Sachs & Co. LLC: No. That makes sense. But last one for me is just on egress. And there's been a lot that's been written around WCS differentials. Obviously the spreads are elevated right now. Can you remind us the cash flow sensitivity for you guys around WCS and then how you see it playing out from here? Rail has taken a taken a little bit longer than we would have anticipated to have started up, but maybe we'll see it in the back half and into 2019. So, any thoughts around differentials, how the market ultimately clears here in 2018 and 2019, and your sensitivity to that?
Tim S. McKay - Canadian Natural Resources Ltd.: Okay. Sure. So just on the differentials it's about $90 million for every $1 different change in WCS. And yes, we are seeing a lot of volatility in the market. We keep hearing that more rail is coming, and it has obviously been slower. And as well, North West upgrader should be going on stream here in Q3, which will help alleviate things by taking about 80,000 bbl/d of diluted bitumen off the market. So, it is very volatile. And as a company, we're continuing to be nimble. Part of the reason we are reducing our heavy oil is because of that. And at the same time, lighter oil activities continue to show very, very strong results. So, we'll continue to just look ahead in the market and say – make those decisions as we go through the year.
Corey B. Bieber - Canadian Natural Resources Ltd.: Yeah. Just one addition, Neil, from Corey. So, our WTI sensitivity is about CAD 250 million on cash – on funds flow from operations per dollar change. So, as you can see, the WCS have 90, it's, kind of reflective of the fact that heavy oil has become a much smaller portion of the portfolio of around 25% of the BOE mix.
Steve W. Laut - Canadian Natural Resources Ltd.: So, long term, we think the differential is going to about 22% to 23% range. But we know we're going to have a volatile period here of time probably for the next year, or so, as we wait for Line 3 to come on. And as Tim mentioned, we got 80,000 bbl/d at North West coming on, take up fuel and bitumen. We know we got real capacity coming in excess of 100,000 bbl/d. So, it's just really a matter of how will that balance between production and takeaway capacity works here for the next year until [Line 3 comes onstream.
Neil Mehta - Goldman Sachs & Co. LLC: Appreciate the comments, guys.
Tim S. McKay - Canadian Natural Resources Ltd.: Thank you.
Operator: Your next question comes from Matt Murphy with Tudor, Pickering, Holt. Please go ahead.
Matt Murphy - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning; and thanks for taking my question. You guys mentioned industry working towards a more effective nomination process. Just wondering if you could elaborate on how a more effective process may result in an improvement for yourselves and your peers, either via better pricing or greater certainty of moving your barrels? Thanks.
Tim S. McKay - Canadian Natural Resources Ltd.: Okay. Well, Canadian Natural is an active participant in the industry Crude Oil Logistics Committee. And what the committee is trying to do is take, what we would call, the air barrels out of the nomination system. So, currently, what we see happens is there's excess nominations, which then are apportioned back to all the industry members. So, by reducing the air barrels, we should have less apportioned and then less potential spot barrels going into the market at the last minute, causing not only logistical constraints for Enbridge but also causing producers and refiners to acquire those barrels. And, typically, those barrels are always at a bigger spread.
Matt Murphy - Tudor, Pickering, Holt & Co. Securities, Inc.: Got it. Thanks.
Tim S. McKay - Canadian Natural Resources Ltd.: Okay.
Operator: Your next question comes from Paul Cheng with Barclays. Please go ahead.
Paul Y. Cheng - Barclays Capital, Inc.: Hi. Good morning, guys. I have to apologize first maybe on beating the dead horse here. I'm just curious that if we look at the market reaction in some of your peers, whether it's Conoco when they – coming out with a 20% to 30% cash flow for this cycle for cash return; or there's something talking about a sustainable CAD 3 billion on a consistent basis buyback at the minimum; or there's Suncor talking about any of the excess cash flow that coming back primary into the cash return to shareholder. They seem to be well received by the market. Just curious that internally I'm sure you gentlemen look at that. And is there any particular reason why you decide that, that's needed not for you to adopt such a strategy similar to your peers?
Steve W. Laut - Canadian Natural Resources Ltd.: I think, Paul, really, when you look at it, we're trying to be as clear as we can on our strategy. We have, as you know, substantial free cash flow that's growing. It's robust; it's sustainable. And what we try to do is balance those four pillars. And we do a pretty good job of balancing those four pillars, react to the market conditions. And that's how we ensure that we do that. And as we communicate to the Street, we are not communicating in the Street that we have a buyback program other than the normal course issuer bids we know we can go up to. Dividends have increased significantly and that's pretty stepwise. So, really, the message for the Street for us is you'll see us balanced in those four pillars: balance sheet; return to shareholders, which includes buybacks and dividends; resource developments, which is very steady; and opportunistic acquisitions, which we don't see much of. So, that's how we look at it, and that's how we deliver the message to the Street.
Tim S. McKay - Canadian Natural Resources Ltd.: I think the other element, Steve, is we have an exceptional project portfolio that can deliver very, very good returns as we develop it. And we don't want to prejudice that development plan and that growth plan. We see that as being an important element for shareholder value creation.
Paul Y. Cheng - Barclays Capital, Inc.: All right. Thank you for that. And all I would just say though is that seems shareholder does appreciate that you have some maybe more transparence and clear in terms of what is the cash return, the expectation that they could have. A different topic, I'm wondering, is CNQ involved with any well discussion to increase your shipment or your transportation for rail?
Tim S. McKay - Canadian Natural Resources Ltd.: So, it's Tim here. On the rail, I think, basically, we're always talking with various parties and looking for opportunities that make economic sense. And if you look back in time, we have shipped as much as 35,000 bbl/d by rail, but it made economic sense, and it was good long-term value for our shareholders. So, we are obviously talking with various parties. We don't have anything on our plate today, but we're not opposed if the right economic opportunity is there to do rail.
Paul Y. Cheng - Barclays Capital, Inc.: Tim, can you share with us then, from what you can see, what is the biggest hurdle or the sort of like the obstacle between the two-sides, the producer and the well operator coming to their agreement? Is it the fee that they're trying to charge, or just the duration of the contract, or is the minimum volumes level that they want?
Tim S. McKay - Canadian Natural Resources Ltd.: Sure. It's really a bit of everything. So, the things that we've seen in the past here have been the term, most wanted, a term about three years, which if you look ahead and say, Enbridge will be on stream in Q4 and the differentials will tighten, you will be out of the money very shortly. The other aspect is that the cost is not as good as a good pipe that you have access to. So, we evaluate it. You know what, there could be a point here, a period of time, where we would do rail. But, again, it would have to be more short term and more appropriate for the difference between the cost of pipe versus rail.
Paul Y. Cheng - Barclays Capital, Inc.: Okay. So, I'd suppose that based on what you just say, CNQ is not aggressively trying to make some commitment and increase your well commitment over the next, say, call it, two or three years? That's not the path that you're going to take?
Steve W. Laut - Canadian Natural Resources Ltd.: We're continuing to look at all the options when we have discussions. As you can imagine, we are in discussions with people, so it's not our interest to sit here and tell you all the details over...
Paul Y. Cheng - Barclays Capital, Inc.: Sure.
Steve W. Laut - Canadian Natural Resources Ltd.: ...so, just continuing to talk about it. And we're trying to maximize value, and I think Tim outlined it fairly well.
Paul Y. Cheng - Barclays Capital, Inc.: Okay. A final one just to clarify, you're saying that the North West Redwater refinery started taking heavy oil in the third quarter? Any idea, is it by the end of the quarter or that is going to be this month?
Tim S. McKay - Canadian Natural Resources Ltd.: It's on track here, and they're very close. And I think it's more for North West to publicly comment on that rather than us. But they're making good progress, and we're very confident they're going to make Q3.
Paul Y. Cheng - Barclays Capital, Inc.: Okay. Thank you.
Operator: Your next question comes from Roger Read with Wells Fargo. Please go ahead.
Roger D. Read - Wells Fargo Securities LLC: Thank you. Good morning.
Steve W. Laut - Canadian Natural Resources Ltd.: Morning.
Tim S. McKay - Canadian Natural Resources Ltd.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: Hey. Maybe as another way to think about the question that everybody keeps pushing on, the shareholder returns here. You mentioned balance sheet strength 1 times EBITDA. And I know you've got a lot of debt that isn't necessarily advantageous to try to repay at this point, modest debt due between now and say, the end of 2019. But what is the right way maybe to think about the balance sheet structure other than in a debt-to-EBITDA standpoint? Because we all know, with oil prices moving around, EBITDA can change. So, is there a debt-to-cap, a long-term sort of maybe cash versus repayments? And then, we can kind of work our way into what we think you might do, given that it sounds like CapEx should be fairly stable, acquisition seems somewhat unlikely at least on the large side, in a way, we can kind of frame up maybe the cash available for dividend increases or share repos.
Corey B. Bieber - Canadian Natural Resources Ltd.: Yeah. Thanks, Roger. So yeah, we evaluate several metrics as do the rating agencies. And we target to ensure that we maintain very strong investment-grade ratings through the entire cycle. So, we're pretty well-positioned today to expand very volatile commodity price cycles. If you look back in the history, pre-2015, our debt-to-EBITDA was in the range of 1 to 1.3 times. And at strip today, as we said earlier, we target to be in that 1.5 times, so we're getting close back to those levels. Additionally, to your point, we do target a debt-to-book cap range. Our range right now is in that 25% to 45% range. We're in that just under 40% today. Probably, it can be in that mid-30s by the end of the year. Typically, we're at the higher end being post-accretive acquisitions, like we are today, or in lower commodity price environments. And then we target to be in the lower end and a higher price commodity environment. So, we're de-leveraging, we'll probably be in that lower half very, very quickly.
Roger D. Read - Wells Fargo Securities LLC: Okay. Thanks. And then, the other question I had, if we look at the OpEx – and it's a little tough right now because with the startups and everything to get a real good handle on the right OpEx trends on a certainly year-over-year basis. But is there anything as we look whether it's in the E&P business or in the oil sands side that we should think of that won't be favorable in terms of OpEx going forward? And I'm not just looking at production, looking at sort of the total thing, including transportation and everything.
Steve W. Laut - Canadian Natural Resources Ltd.: Really other than volatility in the commodity prices, like natural gas, obviously, on our thermal operations and our oil sands operations, it benefits from lower natural gas prices. But anything else – again, diesel, gasoline, that is actually higher for our employees and our field operations. But other than those two items, everything else is very stable. We've been working very well across the board with all our vendors and service providers.
Roger D. Read - Wells Fargo Securities LLC: Okay. That's it for me. Thank you.
Operator: Your next question comes from Phil Skolnick with Eight Capital. Please go ahead.
Phil R. Skolnick - Eight Capital: Yeah. Thanks. With respect to AOSP during the period of turnaround, did you sell any bitumen blend during that time, because your realized price of CAD 80.17 did come in a little bit lower than what I was expecting. And so, I was wondering if that was – if you did that, was that blended into the CAD 80.17 price?
Tim S. McKay - Canadian Natural Resources Ltd.: Yes. That's correct.
Phil R. Skolnick - Eight Capital: Okay. Cool. And just to follow up on the Enbridge nomination discussion. Is there any idea in terms of timing, given Enbridge kind of had that hiccup, when they attempted to do a fix, and it really didn't?
Steve W. Laut - Canadian Natural Resources Ltd.: We're working together with Enbridge. All the producers and other shippers and buyers on the crude oil logistics committee to fine-tune it to make sure that the oil that does move is more effective and efficient on the system. There's no – really no time on it, Phil. It's an ongoing process, and we'll update you as we go forward. But I think good progress has been made and seemingly less volatility in heavy oil differentials because of it.
Phil R. Skolnick - Eight Capital: Okay. Great. Thanks.
Operator: Your next question comes from Asit Sen with Bank of America Merrill Lynch. Please go ahead.
Asit Sen - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thanks. Good morning, guys. I had one question on the pillar of cash allocation, which is the bolt-on acquisition or M&A. You made a small acquisition recently, Laricina. Just wondering what drove towards that. In other words, what I'm trying to figure out what are your parameters that you look for making those bolt-ons, since you have almost everything in your portfolio?
Tim S. McKay - Canadian Natural Resources Ltd.: Well, if you look at that acquisition there, and you look at our existing lands that we acquired also from AOSP and Cenovus, it is a very strategic opportunity that overlaps our lands. It has strategic infrastructure that we will leverage off of. And obviously, our operations are right at the top of it. So, our thermal group is very versed in all sorts of thermal operations, whether it's SAGD, CSS, solvent. And as such, we're able to leverage our expertise team on this item. So, it's a very, very strong fit and a very good opportunity for future value for the company.
Asit Sen - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. Thanks for the color. And I guess, I would just follow up with a scenario question. So, well, how would your strategy change, if any, in 2019, if the WCS diff, they're currently at $30 stays flat or doesn't change? It just looks like you're factoring the CAD 20 to CAD 23. Just talk to us about your thought process? And also, if you could update us given the growth that you're going experience on your corporate decline rate and sustaining CapEx in 2019?
Steve W. Laut - Canadian Natural Resources Ltd.: You know what, we're going to come out with that when we do the budgets, but it's probably too early for us to comment, that but I think, directionally, you can see that we have a very large, diverse inventory of projects we can go to. If you see differences in prices in near terms, we allocate capital based on that. So, if we had a higher differential, which means our heavy oil projects, less competitive with our light oil projects, look here in Canada and UK and Offshore Africa, or some of our projects we have at Pelican and Horizon, we'll allocate capital to maximize value for shareholders. So we'll see, we'll monitor as we go forward. And then as we develop the budget here in the fall, we'll make sure we have lots of flexibility to adapt to any situation we can see out there.
Asit Sen - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. Thank you.
Operator: Your final question comes from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta - Goldman Sachs & Co. LLC: Yes. Sorry for the follow up here, guys. One last question. When we think about the debottlenecking project at Horizon and the incremental growth there, how should we think, on a fully burdened basis, kind of what the breakeven of the project is, either on a WTI or a Brent basis when you really layer in all the costs for that?
Tim S. McKay - Canadian Natural Resources Ltd.: Neil, what we're doing here is obviously we're still fine-tuning the cost. As you know, we haven't given you any details on the cost. We expect to fine-tune those costs as the year goes through. But I would think that breakeven to get our return on capital is somewhere between that CAD 45 to CAD 55 WTI range. I think it's probably likely to be below CAD 50, but we're going to fine tune the costs as we go forward.
Neil Mehta - Goldman Sachs & Co. LLC: Okay. Great. Thanks, guys.
Operator: This concludes the question-and-answer session today. Mr. Stainthorpe, I turn the call over to you.
Mark A. Stainthorpe - Canadian Natural Resources Ltd.: Thank you, Stephanie. And thank you, everyone, for attending our conference call this morning. As you heard on the call today, Canadian Natural is in an enviable position. Our free cash flow generation is significant and sustainable, allowing for a balanced allocation to our four pillars. Our long life, low decline assets makes Canadian Natural more robust and provides several opportunities to drive increasing production, deliver effective and efficient operating costs, and create shareholder value in an environmentally responsible manner. This is complemented by a diverse low cap exposure asset base and provides optionality, which Canadian Natural can and will exercise at our discretion to maximize shareholder value. If you have any further questions, please give us a call. Thank you again, and we look forward to our third quarter conference call in early November.
Operator: Thanks, and enjoy the day.